Operator: Ladies and gentlemen, thank you for standing by and welcome to the MarketAxess Third Quarter 2007 Earnings Conference call. I would now like to turn the call over to Stephen Davidson, Head of Investor Relations at MarketAxess. Please go ahead, sir.
Stephen Davidson: Good morning and welcome to the MarketAxess Third Quarter 2007 Conference Call. For the call this morning, Rick McVey, Chairman and Chief Executive Officer of MarketAxess will provide a strategic update for the company. Kelly Killet, President of MarketAxess will provide an update on our North America businesses and then Jim Rucker, our Chief Financial Officer will review the financial results for the quarter. We will then go back to Rick for closing comments before the Q&A session. Before I turn the call over to Rick, let me remind you that today’s call may include forward-looking statements. These statements represent the company’s belief regarding future events that by their nature are uncertain. The company’s actual results and financial condition may differ possibly materially from what is indicated in those forward-looking statements. For discussion of some of the risks and factors that could affect the company’s future results, please see the description of risk factors in our annual report on Form 10-K for the year ended December 31, 2006. I would also direct you to read the forward-looking disclaimers in our quarterly earnings release that was issued earlier this morning available on our website. I would now like to turn the call over to Rick McVey.
Rick McVey: Good morning and Happy Halloween. The third quarter of 2007 was one of the most challenging quarters ever for the credit markets as the sub prime contingent rippled through the market causing a severe drop in credit market liquidity. Despite these difficult markets, MarketAxess reported solid results for the third quarter of 2007 helped by an expanding base of fixed commission revenue, a more favorable mix of business and continued strong expense management. For the third quarter of 2007, MarketAxess reported net income of $2.4 million or $0.07 per share compared to $1.3 million or $0.04 per share in the prior year period. Our pre-tax margin was 16%, well above the 11% reported during the prior year period, but down from the second quarter level. The drop in market liquidity clearly had an impact on electronic trading with our estimated share of US NASD high-grade TRACE falling to 7.8% from 9.3% in the third quarter of ’06. We believe this was caused by extreme ill liquidity in the short end of the corporate bond market and a shift in the client mix within TRACE away from traditional asset managers. Kelly will further address market conditions in his comments. On the expense front, third quarter 2007 expenses were flat compared to the third quarter of 2006 reflecting continued expense discipline. Our financial position and strong cash generation continue to be sources of strength. Since the end of the third quarter of 2006, when our cash balances were $124 million, we have repurchased $30 million in MarketAxess shares. We ended the third quarter of 2007 with $128 million in cash and securities demonstrating that our operating cash flow has fully funded our share buy-back program. In summary, we recorded $0.07 earnings per share in the extremely challenging market environment. Our higher base of fixed revenues, ongoing expense management and trend towards higher variable fees per million all contributed to the improvement in earnings. We believe we’re well positioned for growth as credit market liquidity returns to more normal levels. Slide four provides a snapshot of our quarterly results since the beginning of ’06. In spite of the downturn in the sequential results for the third quarter, we are still showing very good progress over the prior year period. As you can see, our business has shown a consistent improvement in profitability driven by higher revenues and controlled expenses. Operating margins have been growing attractively from prior year levels. And on slide five, this momentum is clearly evident in the year-to-date numbers. Revenue is running 16% above the prior year. Expenses have been held steady and are less than 2% above the prior year and most importantly for our shareholders, net income and EPS are running about 165% above the prior year. These results reinforce the fact that we have very attractive incremental margins in our business. On slide six, we provide an update on some of the key credit market drivers. The upper left hand corner shows the impact of the recent turmoil in the corporate bond market. Liquid high-grade index spreads wind up full 43 basis points at their highs in September from the end of June. The upper right hand corner shows the benign volatility of US Corporate Index spreads of the previous six quarters came to an end during the third quarter with the rolling three-month volatility spiking to 2.7%. In the short-run, the sudden and severe repricing in the credit markets has led to a reduction in liquidity and trading activity in corporate bonds. However, we believe that a return to normal market liquidity combined with the increase in spreads in volatility will cause an increase in trading activity among traditional investment managers, our primary client base. In the lower left hand corner, the recent steepening of the yield curve has led to an increase in average maturities traded on our system and a subsequent increase in average variable fees per million. The lower right hand corner shows high-grade new issue volumes have remained robust despite the difficult market conditions. An active new issue calendar supports secondary trading over the long term. On slide seven, two trends of the fixed income market are worth noting. The left graph shows the shape of the yield curve versus the average maturity of bonds traded on the MarketAxess system. As you can see, the dramatic flattening of the curve over the last four years caused investors to trade shorter maturity bonds. The recent steepening of the yield curve has caused an extension of average maturities traded leading to higher average fees per million in US Corporate bonds. The right graph shows the correlation between TRACE high-grade volumes, spreads and spread volatility. We believe that the lack of spread volatility caused a contraction in overall corporate bond trading over the last few years. In spite of the extreme lack of liquidity in the third quarter, as we look in to 2008, we believe a case can be made that the increase in spreads and spread volatility will be a positive for corporate bond trading volumes. On slide eight, I wanted to update you on potential uses of our substantial cash balances. As I stated earlier, our operating cash generation continues to be well in excess of reported net income and has fully funded our stock buy back since the third quarter of 2006. There are three strategic options that we are actively considering for uses of cash. First, we continue to consider acquisitions that would expand our technology capabilities in the fixed income e-trading space. We feel that acquisitions that support the growth of our trading, data and technology services businesses will allow us to broaden relationships with key institutions and diversify our sources of revenue. Second, we will revisit ongoing share repurchase plans with our board when the current plan is completed. And third, we are always looking to identify new organic opportunities that meet the needs of our institutional costumers. With that, I would like to turn the call over to Kelly for an update on North America.
Kelly Millet: Thank you, Rick. For my North America update this morning, I will address the difficult market conditions we experienced in the third quarter. In addition, I will review the market impact on our estimated share of NASD high-grade TRACE as well as on our volumes and mix of business. On slide ten, you can clearly see the drop off in trading volumes in our core US high-grade business. Third quarter performance was degraded by the significant market dislocation we saw in August and September. The rapid repricing of credit which began in July led to a severe liquidity squeeze in August for our dealers. Reduced dealer liquidity and risk appetite decreased the number and quality of the levels quoted by dealers and dampened investor inquiry volume over the system. The ensuing liquidity by appointment environment pushed Client Flow business back to the phone resulting in a decline of our estimated share during the quarter falling from 9.3% of NASD high-grade TRACE in the third quarter of last year to 7.8% in the third quarter of this year. FRN trading volume, normally the most liquid short-duration segment of the client’s slow business that we address and the majority of which is issued by banks and brokers declined 53% to $7.3 billion during this quarter.
upper end: The average weighted years to maturity pertains to maturity trade increased to 8.3 years in the third quarter of this year, up from 7.8 years in the second quarter of this year and 6.7 years in the prior year of third quarter. This positively impacted our fees per million. In October month-to-date of this year, we are seeing a moderate increase in our average daily volume of inquiry and a return of larger size trades to the system, especially in FRN. One quick note on CDS volume, our other category was up strongly versus the third quarter of 2006 and this was primary due to improved CDS volumes which moved four-fold over the prior year period. At slide eleven, we showed a trend in our share of NASD high grade TRACE in the Client Flow business. While our overall share of NASD high grade TRACE and our share of the Client Flow business have dropped due to market conditions, our value proposition for dealers and clients is stronger than ever. With the recent drop in dealer profitability, fixed income trading managers will be under even more pressure today to achieve cost savings, adhere to compliance regulations and continue to efficiently serve their clients. We estimate that Client Flow trading, as we define it, makes up approximately 57% of NASD high-grade TRACE year-to-date. A material part of it, we believe, should go electronic over time. Finally, on slide 12, we have updated statistics on OMS initiated trading by our investor clients. Straight through processing solutions increased the value of our platform to investors and raised barriers to entry competitors. The number of trades initiated by client order management systems messaging continues to grow. At the end of the third quarter, 20% of our trade counts and 18% of our trade volume was initiated by client OMS systems. We added 18 new FTP connections with investor clients bringing the total connections to 131 up from 113 at the end of the first quarter of this year. Now, I would like to turn it over to Jim for a review of the financial results. Jim.
Jim Rucker: Thank you, Kelley. On slide 13, we have outlined our volumes from the 2006 and 2007 third quarters. Trading volume from the third quarter of 2007 was clearly impacted by the seizing up of liquidity in the credit markets, with total trading volume down 32% compared to the second quarter. Trading volume of $76 billion was down 10% over the third quarter of 2006 impacted by a 20% decline in US high grade, a 21% decline in European high grade, offset by a 38% increase in the other volume category. The increase in the other volume category was primarily driven by an increase in CDS trading volume. Please turn to slide 14 for our earnings performance. Despite the low trading volumes in the third quarter, our earnings per share of $0.07 were above the third quarter of 2006 and only $0.03 below our strong second quarter result. In short, we were able to generate $0.07 in earnings for our shareholders during some of the most challenging credit marketing conditions in recent memory. Three factors contributed to this, a full quarter’s impact to the new European fee plan that we introduced in June, variable employee compensation expense that was below the second quarter level and an increase in the high-grade variable transaction fees that Kelly referred to earlier. Our tax provision in Q3 ’07 reflected an effective tax rate of the quarter of 34% compared to 42% in the third quarter of 2006. The primary reason for this was a higher percentage of our earnings coming from our UK subsidiary which is currently subject to a lower tax rate than our US operations. I anticipate the effective tax rate to the fourth quarter to be between 36% and 39%. But in the longer term, expect the rate to revert to approximately 40%. Slide 15 provides you with the revenue detail. Total commission revenue was up 8% compared to the third quarter of 2006. US high grade commission revenue was down only 2% on a 20% decline in trading volume and reflects a decrease and DealerAxess Monthly Minimum which was offset by increases in the client to dealer fixed distribution fees and the client to dealer variable transaction revenue. Fees per million increased by 31% from $77.00 in the third quarter 2006 to $101.00 per million for the third quarter 2007 as a result of the increase in the average maturity of trades executed over the platform. European high grade commission revenue was up 49% despite the declining trading volumes that I referred to earlier, clearly showing the benefits of our new European high grade fee plan and I will provide more detail on this on the next slide. In the other category, while trading volumes increased by 38%, commission revenue increased by only 2%. The primary reason for this was an increasing contribution from the CDS product which represented a significant portion of the volume increase year-over-year. Fees per million in CDS are currently much lower than the other products in this category. Slide 16 shows the positive impact of the first four quarter under the new European fee plan. While European high grade trading volume decreased 21% from the third quarter of 2006, following the implementation of the new European fee plan in June, commission revenue increased by 49% to $4.9 million from $3.3 million in the third quarter of 2006. Due to our success in signing most of the European dealers on to the new fee plan, we now have a base of monthly dealer distribution fees that is of a similar level to the variable commissions that dealers we were paying a year ago. But in addition we’ve been able to earn the variable transaction fees that we electronically add in to the prices quoted by the dealers. The combination of the fixed monthly distribution fees and variable transaction fees under the new plan had a substantial positive impact on revenues in the third quarter compared to the commission revenue we would have earned had we still been on the old plan. Average variable transaction fees of $99.00 per million of the quarter were about the $90.00 we guided you to in the second quarter call. Similar to what we saw in the US, we had a more favorable mix of business which boosted our fees per million during the quarter. Slide 17 provides you with the expense detail. Total expenses in the third quarter of 2007 were flat to the third quarter of 2006 and down $700,000.00 from the second quarter largely as a result of lower variable employee compensation due to lower operating income for the quarter. Employee compensation and benefits as a percent of revenue was 46%, down from 50% in the third quarter of 2006. I am now expecting our expenses for the full year to be below the guidance range that I have previously given. I anticipate full year 2007 expenses to be in the range of $76.2 million to $76.8 million. On slide 18, we see the increasing coverage of our expense base by our monthly distribution fees and non-trading related revenue. Coverage of our expense base by the US and European high-grade monthly distribution fees and the non-trading related revenue has increased from 65% of our expense base in the third quarter of 2006 to 80% in the third quarter of 2007. The implementation of the new fee plan for the European high-grade product has been a significant contributor to this development. In challenging markets such as the ones we experienced during this past quarter, we have a steady base of revenue to support our earnings while at the same time giving us plenty of upside in variable transaction fees. On slide 19, we show our strong free cash flow for the third quarter year-to-date. Our year-to-date free cash flow generation was 2.2 times our reported year-to-date net income. This translates into $18.5 million or $0.53 per share, well above the reported $0.24 in earnings per share. Year-to-date non-cash expenses, which include depreciation and amortization, stock based compensation and deferred taxes were $15.2 million. On slide 20, we have the summary balance sheet data. During the third quarter of 2007, we repurchased 205,000 shares at a total cost of $3.5 million, and as of October 30, we have purchased a total of $2.2 million shares at a total cost of $30.9 million, which leaves $9.1 million remaining in the program. Our cash balances of $128 million are just 2% below the $131 million at year-end 2006. Total stockholder’s equity was $176 million representing book value on a diluted basis of $5.10 per share and we continue to have no debt. Now, I would like to turn the call back to Rick for closing comments before the Q&A.
Rick McVey: Thank you, Jim. In summary, no one could have expected the severity of the credit market downturn in the third quarter. We feel good about our financial results in light of the market environment. Our hard work on fee models and expense management served our shareholders well during the quarter. We believe that as the market stabilizes, the trading environment will show improvement versus the benign conditions of the last few years. We remain optimistic about the growth we had in our core corporate bond business and a large opportunity in new products and services. Now, I would like to open the call up to your questions.
Operator: Your first question comes from the line of Howard Chen with Credit Suisse. Please proceed.
Howard Chen – Credit Suisse: Good morning everyone.
Richard McVey: Good morning, Howard.
Howard Chen – Credit Suisse: Rick, I guess the first one is for you. I was hoping to get an update on the competitive landscape during the quarter. Here in the U.S. we saw an up announcement by the broker dealers to reinvest in TradeWeb, and in Europe, we saw the launch of Liquidity Hub. So, I guess could you touch on both of these and give your overall sense of the competitive environment now compared to where we were a year ago, et cetera?
Rick McVey: Sure and I would be happy to do so, and the reality is within the credit space, I do not think much has changed. TradeWeb in particular has been a strong competitor of MarketAxess really since our existence, and during that period of time, at one point, there were 100% owned by dealers and at another point, 100% owned by Thompson. So we’ve been competing in various ownership structures and the investment that was made during the quarter that you point out brings the level of dealer ownership in TradeWeb back to about the same level as dealer ownership at MarketAxess. So we don’t view this as any significant change on the competitive front, and the reality is given the size of the organizations that are involved, whether it is in TradeWeb or MarketAxess, the ownership in equity in the e-trading platforms is small relative to the focus on their own business and their own P&L. So as much as we might like to think differently, we do not believe that dealer equity is the most important component that drives their trading behaviour. And we believe that we’ve proven to have sustainable competitive advantages in the credit space based on the technology that we’ve worked over the last seven years to build, the network that is now more entrenched in our platform than ever and the fee model which is considered by all to be fair and equitable and those advantages continue to serve us well. It is interesting that you point out Liquidity Hub because based on the public record following the TradeWeb deal, it would certainly appear to all involved that the primary focus in terms of growth for TradeWeb is the interest rate swap market, and arguably trying to recapture dealer support and dealer alignment that was temporarily lost to Liquidity Hub. And by all accounts, Liquidity Hub is solely and exclusively focused on the interest rate swap market. So, I think the key for us is to continue to move quickly to build our credit business as we have been doing. We do not think there is a significant change during the quarter in the competitive environment. And the other piece, just to bring you up to date, Howard is, there was a lot of talk obviously about six months ago about the re-launch of corporate bond trading at the New York Stock Exchange and we continue to believe that that has had very little if any impact in the institutional credit trading space.
Howard Chen – Credit Suisse: Okay, great, thanks. And then second one, Rick, you mentioned in your prepared remarks the challenging environment and the ceasing up of the credit markets this summer. From what we heard from some of the managements and seeing in the results from some of the larger CDS players, it appears liquidity did not cease up there. I know you’ve mentioned it was a positive contributor to the other volume growth this quarter, but maybe can you elaborate that on either the numbers, the contribution that it’s providing or just qualitatively what you’re hearing from clients and the incremental clients and the opportunity from where you sit.
Kelley Millet: First, I think, I would preface my remarks by again repeating that client to dealer trading in CDS is in its very, very early days. We continue to think our opportunity is to focus on two clear needs as we have seen and discovered across our customer base. First is a more efficient means of execution, and the second is a more efficient post trade processing and settlement aspect to the trade. We are making solid progress in the client to dealer space, especially in the index product within the inter-dealer space. We are reasonably pleased with our progress to date in CDS especially in EM. And again, as Rick said earlier, we are strong believers in our value proposition that we deliver to our customer base, and I continue to believe that the pace of client to dealer trading will accelerate in CDS. It was a more liquid market in certain parts of the CDS market, as you point out, versus the cash market. Well, quite frankly, Howard that has been the case even in a more normal market. So I think in summary, we’re pleased to date, but I’d like to preface that with the fact that we’re in the very, very early days in the trading of CDS electronically, especially client to dealer.
Howard Chen – Credit Suisse: Okay, great, thanks. And while I have you on the line, Kelley, last quarter, the company benefited from something of a development contract with one of the broker dealers, I think you mentioned in last quarter’s results. Any color on the pipeline? Is that a business that you continue to want to be in and grow over time, or should we think of that contribution last quarter as somewhat of a one-off?
Kelley Millet: We continue to believe that we deliver world-class technology and connectivity to our customer base. We have invested substantially over the years in that. And in addition to the technology itself, we also believe strongly we have world-class talent as well. Not surprisingly in the third quarter, Howard, a lot of the technology and business focus churned internally. We are very pleased with the portfolio of opportunities, however, that we currently have on our plate. And we continue to strongly believe the tech services will provide a modest diversification and even further integrate us into the infrastructure and the technology of our most important customers.
Howard Chen – Credit Suisse: Great, thanks. And then, Jim, maybe a final one for you. At the revised midpoint of your expense guidance, it looks like expenses will be up 2% year-over-year. Maybe this is jumping ahead a quarter to next quarter’s results in your guidance there, but any thoughts? With the $76.5 million expense base on a full year basis, does that provide you enough to both kind of run the business, invest in the places that you want to invest? Given the current environment and maybe even a potential improvement in terms of volumes, is this is a good operating expense level that we are at now?
Jim Rucker: I think if you look back over a little bit of a longer term rather than just over the past nine months and look back over two or three years, what you’ll see is a growth in operating expenses has been somewhere in the high single digits. And that’s during a period when we built up two significant new products, namely, CDS and DealerAxess. So I think, we continue to believe the expense growth rates somewhere in that range either high single digit, is what we need to continue to fuel growth in our products.
Howard Chen – Credit Suisse: Great, that’s helpful. Thank so much, everyone.
Jim Rucker: Thank you.
Operator: Your next question comes from the line of Daniel Harris with Goldman Sachs. Please proceed.
Daniel Harris: I appreciate the commentary on the long-term potential TRACE volumes next year or maybe further out than that, but more near term, given that volatility has somewhat stabilized even though the spreads are still wide, how do you guys think about industry volumes over the next quarter or two, especially as I sit here and look at October volumes, looking like they are down somewhere between 10% and 15% year over year?
Rick McVey : Just quickly on the TRACE front, Daniel, the October average daily volume is off a little bit further from September, but not materially so. We obviously have more trading days, so there is not a significant change in the current market environment as we start the fourth quarter. Kelley has few comments with respect to the outlook going forward.
Kelley Millet: We are, as I said in my prepared remarks, seeing modest improvement increase in average daily volume of inquiry on the system. We are seeing the quality and quantity of dealer responses improve as well. And we are also seeing the return of large size trade, i.e. in excess of $100 million return back to the platform as well, really concentrated not surprisingly in FRN. That being said, we continue to monitor and work closely with our customers and it’s been a challenging three or four months and there are weeks like this week where their attention turns away from e-trading market to critical risk management issues, the Fed today, the Payroll numbers on Friday. I spent 24 years in the dealer community and I have gone through a number of these cycles. One of the first order of business is as you go through this cycle as things begin to stabilize is that you critically assess your staff, which at times can be more than half your expense base, you critically assess your efficiency and that is mid office and back office. As a result of that, I am more convinced about our value preposition and not just in the long term but as people look at their budget process in their own prospects for ‘08, I think we can be an important part to contributing to a more efficient low cost execution of trade as the dealer community serves their most important customers.
Daniel Harris - Goldman Sachs: Thanks, that is really an interesting point, as we have obviously seen the dislocation, the credit market having an impact potential on staffing at the investment banks and the dealers. How do you see that changing in terms of how clients interact with the system, do you think that the dealers are doing more automated quotes back to clients as potentially they’ve moved people off the desk for these low margin products?
Kelley Millet : As I said in my prepared remarks, we do believe that some 57% of trades year-to-date is in that sort of flow category and low margin business and in our connectivity which I highlighted on the client buy-side, there is also significant work going on with the dealers via their communication and transactions with us through the APIs. I do believe that this market environment will pressure dealers to critically assess their business model and our job is to provide those a fee plan in the US and Europe which is fixed to the dealers which we think is attractive in reducing their average trade cost as they increase their volumes through the system and ensure that we’re providing the right technology. Each dealer has a different interaction model with their various segments of clients, some traditional, some automated with some intervention and then some quite frankly fully automated. We think the trend towards interaction via APIs will continue and we are optimistic that as the community assesses their expenses, their overall level of margin that there will be a continued move especially in the flow business to the platform.
Rick McVey: I think by way of reminder Daniel, those trends were clearly evident in the first half of this year and I think we felt better than ever before in our business history with the acceleration of share gains taking place electronically on MarketAxess during the first six months of 2007. And as you look at the detailed numbers from the third quarter that we provided this morning, it’s clear that the extreme dislocation in the short-end of the market was primarily responsible for the drop that we had in market share. We believe that this will be a temporary change in the electronic market and the long-term trends that we are observing in the first half of this year will return on a medium to long-term basis.
Daniel Harris - Goldman Sachs: Thanks for that Rick and Kelly. I just actually want to turn over to the other side of the business from the client perspective. You guys, thanks for the disclosure. You talked about the OMS impact from volumes and so if you guys are currently getting around 20% of your total trade through an OMS, can you give us more color what percent of clients are actively using an OMS with you guys? What I am trying to get at is, of the clients using the OMS trading more than those that don’t today? And how long does it take to get slotted into a client’s OMS platform?
Rick McVey: An important thing to remember is that the clients that we have integrated under Order Management Systems tend to be the larger fixed income investors and as we’ve said before, we think given the concentration of assets and the fixed income investment management industry, the top 200 or 250 investors in each region account for a large majority in the institutional trading volume. So we are pleased with the progress that we are making because most of those connections are going in to large investors. The time that it takes really depends on what type of Order Management Systems that they have used. We have partnership deals with five or six of the leading Order Management System providers and once the client upgrades to the latest version that includes the connectivity to MarketAxess, then the work is done for them and their electronic access to the system is immediate. We think almost half of the US investors are operating on their own Order Management solution and that can take us a little bit more time to complete the connectivity work, but we have been successful in virtually every case where the client has been ready to make the investment in connecting to us.
Daniel Harris - Goldman Sachs: Okay, great. That’s helpful. Then Jim just lastly, a little bit of clean-up here, I think you mentioned that you see the tax rate moving back to 40% longer term, I mean, obviously we saw big changes this quarter given Europe’s strength versus the US, do you think that that change back to 40% happens because the US will grow faster than Europe or for other reasons?
Jim Rucker: There are really two factors driving my view on a long term tax rate, Daniel, just to be clear, this quarter the issue, what it is all about the percentage about net income that came from the European business as compared to the US business. Part of my view is that mix is changing to a slightly more normal level and without going into too much detail, some issues with the UK taxes, that means that the all-in rate that we pay on net income in the UK will increase a little bit. So, it is the combination of those two factors that drives my view that next year we will revert to a more normal tax rate of somewhere around 40%.
Daniel Harris - Goldman Sachs: I appreciate the color Jim, thanks a lot.
Jim Rucker: Thank you, Daniel.
Operator: There are no additional questions at this time. I would now like to turn the call back over to management for closing remarks.
Rick McVey: Thank you for joining us this morning and we look forward to catching up with you again next quarter.
Operator: Thank you for joining in today’s conference, you may now disconnect and have a wonderful day. Happy Halloween.